Magnus Ahlqvist: Good afternoon, everyone, and warm welcome to our Q1 Conference Call. I'm here today, I should highlight virtually with our CFO, Bart Adam due to the current circumstances with COVID-19. Bart is dialing in from home in Belgium and I am in Stockholm at the location where we have our annual general meeting after this session. Today, we'll go through the Q1 performance as usual, but we will also share more information and context related to COVID-19. So let us start with the performance on a group level and some of the highlights. We had a decent start in January and February from a growth perspective, but after lower growth in the month of March, our organic sales growth landed at 2% in the quarter. The operating income and margin were impacted by COVID-19. And we had a negative impact in all business segments, but the largest impact in continental Europe. And when I say that, that's prevented then within the European division, but also in Spain and Portugal. We had an operating margin of 3.8% compared with 4.8% last year. But in terms of the important price/wage balance, we were on par in the quarter. And as previously communicated, the Board has withdrawn the earlier dividend proposal and a new proposal may be revisited later this year. But looking ahead, due to COVID-19, we face significant uncertainty regarding the coming 3 to 12 months, but we are continuously taking actions to manage and to be prepared. So I would like to share just a few points related to COVID-19 and related to the impact in the first quarter. And after Bart's financial details, I'll come back and talk a little bit more about where are we right now and also the focus here as we go forward. And first, I would like to highlight the tremendous strength in response by the Securitas team who have been working relentlessly and in close partnership with our clients during this very challenging time. And in light of the developments that we, that started in China, we initiated a crisis response team towards the end of January on a group level. But we have also activated numerous crisis response teams across all divisions and most importantly, in our countries, close to our people and close to our clients. And from the beginning, we identified a few main priorities. First and foremost, the health and safety of our employees. Second one is about ensuring business continuity. And there, of course, most important to secure that we can continue and deliver services to our clients. And the third area of priority was to protect and is to protect our strong financial position. And in the light of COVID-19 development, one important question now, of course, is where have we seen the most significant impact in terms of our business? And we see differences in terms of the impact. And this difference between divisions, between countries and segments, but I should also say, even within countries. So in terms of demand, our aviation business is the most severely hit, but we also see a significant negative impact on our electronic security-related installations business. But the protective services that we provide are generally regarded as essential or mission critical services, and this is important, something we are proud of. And we have also seen areas with increased demand. And that has been primarily for temporary services coming from sectors such as health care, retail, protection of assets that have been idle or that are idle, such as offices or factories. But apart from the above factors, the rest of the portfolio has been fairly stable up until this point. But due to the sudden changes in demand and the need to also manage costs, we currently have around 10,000 employees who are temporarily unemployed, primarily in Europe. And when I say temporary unemployed, that means that they are then on one of the different temporary unemployment schemes primarily then in Europe. And like I mentioned earlier, we come back with more details and context related to COVID-19 a little bit later in the presentation before the Q&A. But let's now then have a quick look at our progress in the strategically important solutions and electronic security. We had 10% real sales growth in the first quarter and we concluded two important acquisitions. Techco in Spain and Fredon in Australia. And these are two strategic acquisitions that greatly enhance our electronic security competence and capability in two very important countries. And we are very glad to welcome the teams to Securitas. Shifting now then the focus to the performance in our segments, and we're starting with North America. We had stable organic sales growth development during the quarter, and with growth organically of 2%, where our Guarding business contributed, but where we had a slight negative impact from our Critical Infrastructure Services business. From COVID-19 perspective, extra sales in Guarding helped offset some relatively small service reductions, but we had a negative impact from lower installation sales in electronic security. Retention improved significantly in the quarter to 92% in North America, and this is a great improvement compared to where we were 1 year ago. In terms of profitability, we had 5%, 5.2% operating profit margin in the quarter and this decline was primarily related to Securitas Critical Infrastructure Services that we abbreviate SCIS. And after the transition that we had in Q4, the performance improved during the quarter, but the recovery was slower than expected, or I should say, happened later in the quarter than what we had anticipated. From a COVID-19 perspective, there was a clear negative impact related to electronic security installation sales also on the margin. But our Guardian business supported the operating margin in the quarter, thanks to strong performance and ability to mobilize and help a number of clients with temporary increase in demand. And turning then to Europe. We had a decent growth the first two months with 2%, but experienced a negative 3% in the month of March. So based on this, we had zero organic sales growth in the quarter. We had an expected negative impact on the growth related to the previously announced contract losses in the UK and France, and the aviation related contract that we have previously also announced in Norway. And from the COVID-19 perspective, there was a clear negative impact from the declines primarily in the aviation segment and also from electronic security installations. From a profitability perspective, we had an operating profit margin of 3.6% in Q1. And the decline was primarily related to the negative impact from COVID-19, but also from the previously referenced contract losses in Europe. And from a COVID-19 perspective, it is important to highlight some increased costs. And these costs are related to higher idle time and sickness costs, but also from purchases of protective equipment for our employees. And I think this will be an important part also as we go forward. Looking then at Ibero-America, we recorded 9% growth in the quarter, after 10% growth in January and February, we had 7% growth in the month of March, so for a quarterly organic growth of 9%. And this development is mostly related to Spain, we had some continued reduction in a few short-term security solutions contracts and then a negative impact from the corona pandemic in Spain and Portugal. And when you're looking at these countries, the service reductions are primarily related to certain retail segments, tourism and hospitality. The operating margin in the quarter was 4.4%, and the decline was primarily related to the previously explained impact in Spain and Portugal and weak performance in Peru. And related to COVID-19, we have seen a very challenging situation for Spain as a country during March and April, and we are monitoring this situation closely and like in all the other countries we operate, taking actions continuously to manage the situation. And with that, I will now hand over to you, Bart, in Belgium.
Bart Adam: Okay. And many thanks, Magnus. So let's look at the financial information then to the first quarter of this year. I shall say that we were quite happy when we saw the January and February operating numbers coming in, but then came in March with the COVID-19 impact generating then in the quarter 2% of organic sales growth and an operating margin of 3.8%, and Magnus has commented on the different effects here. I shall say or confirm also what Magnus said that since the start of the COVID-19, we have really focused on the 4 key matters: For people, for clients, cost control and cash flow control. And as Magnus said, we have seen tremendous efforts from the team, our officers and branch managers and our business leaders. And I would say, many thanks to all of you, and I would also like to thank also our -- all of our people that work with the back office and infrastructure. I can confirm that all of this works well, thanks to good business continuity planning and thanks to very strong commitment from the teams. Then when we move back to the income statement as to then the lines below the operating income, I would actually say that there is not so much to say. And actually, everything is quite stable and in line with expectations--I'm sorry, I have a little bit of technical glitch here, sorry for that--and in line with previous year as well. When we look at items affecting comparability, we accounted for minus SEK45 million in the first quarter, and these items affected comparability relate entirely to the 2 transformation programs we talked about before. We had last year minus SEK209 million for the full year, so we continue more or less with the average speed from 2019. We referred earlier to a total of SEK650 million as items affecting comparability that shall be accounted for related to the 2 programs. And that during the period of 2019, 2020 and some part in 2021. The SEK650 million is still the relevant amount to consider, and for 2020, we have said before, we could see an amount of around SEK250 million. And as also said before, everything depends a bit on the speed of the different implementations. And by this, we can confirm that our ambition with the programs has not changed. And broadly speaking, also the 2 programs are on track. There might be some delay as a result of the COVID-19, depending also a bit on how the entire situation further develops. Nothing really to mention on financial income. And then moving to the tax line, where the estimated full year 2020 tax rate actually is currently the same as for 2019, that is 27.2%. Moving to the next slide. We consider here the effects from the different currencies and the numbers to the right are the foreign exchange end rates in Swedish krona measured at quarter end. Both the U.S. dollar and the euro strengthened during the quarter, especially during the month of March compared to 12 months before ending then stronger at the quarter end compared to 12 months before. U.S. dollar ended at SEK9.97, 7% stronger and the euro on SEK11.04 and that is 5.5% stronger. The Argentina peso stayed more or less where it was around SEK0.15 still meaning that is 27% lower than where it was 12 months ago. And then due to the combined effects from the different currencies, our quarterly consolidated income statement was somewhat positively affected when comparing to last year. Our total numbers got some tailwind from the currency in the quarter on the different levels then around 2% to 3%. We turn to the next page where we consider the cash flow and the balance sheet. And there, we have a good cash flow coming in during the quarter, also compared again to the same quarter last year. We see in the quarter net investments of minus SEK57 million, and that then results from investments of SEK753 million and a reversal of depreciation of SEK696 million. As you know, with IFRS 16, our CapEx gets inflated, and that is from around SEK2 billion per year to an amount now of SEK3 billion. So capital expenditures, including IFRS 16 is around 2% of group annual sales, including IFRS 16 more around 3%. Then we have a positive impact on the free cash flow in the quarter of around SEK350 million and that comes from government relief measures. Basically, VAT payments and social security payments that we are able to delay. And that has been the case in Germany, France and the UK predominantly. Important to mention is that also in U.S. we expect a quite significant payroll tax deferral spread over the remaining quarters for 2020, which will then be paid back in 2021 and 2022. Current taxes paid then that includes an earlier mentioned amount and clients' payment related to Argentina and the final amount for that was SEK139 million. I shall also mention that we are very closely monitoring and working with our cash and liquidity, and we have implemented further measures with the COVID-19. We are very closely monitoring accounts receivable with stricter collection procedures. We have also paused the acquisitions since early March, of course, the ambition remains once everything has stabilized to come back to acquisitions. And we are also postponing certain discretionary projects and spending. And then, of course, we are also closely monitoring and following cash relief programs from any government. Then we move to the net debt. We are already on the slide. And the net debt ended at SEK19.3 billion, up from SEK17.5 billion at the end of last year. You should remember that the jump in net debts between 2018 and 2019 as a result of the implementation of IFRS 16, which made a net debt increase with SEK3.3 billion. Then we had, in the cash flow then, when we look back at the cash flow, we had a negative free cash flow of SEK324 million and then a bit larger amount, SEK354 million spent on acquisitions in the beginning of 2020. Then we had also quite important effect from translation actually, you see the SEK850 million as translation difference, which is, of course, an effect from the strengthened dollar and euro mainly. When you then move back to the graph, the net debt in relation to EBITDA is on 2.4 currently and that is after IFRS 16. Then I would also like to mention what Magnus mentioned before that normally we would have paid a dividend now in May, actually, on these days, and that was going to be about SEK1.8 billion, but that proposal has been withdrawn by the Board. I should say that Securitas has a strong financial position and the Board believes it is appropriate to take a prudent approach at this point in time. Our priority is to ensure business continuity and to look after the health and safety of our people, while we shall also continue, of course, to drive the strategic transformation. And as Magnus has also said, the Board may consider later to result on a new dividend proposal when things would have been stabilized in a general environment. Then we move to the next slide. And here we have our debt maturity chart. We had plans. It was in our planning to renew the RCF or backup facility well ahead of its maturity and we would do that during the month of March, April then this year. And then came the COVID-19, which was from that perspective not very well going away. But I can assure you, and from many other perspectives as well, of course, but I can assure you that we are happy to confirm we have renewed the RCF. It's a facility now with nine core banks and they are listed here on the slide for a total of SEK9.3 billion and is for five years with the possibility to extend it to 2027. So actually quite a long term. We have also what is called an accordion built into the facility, which makes it possible that one or the other bank can join at a later point in time. And by that, so expanding the facility. Standard and Poor's confirmed our rating here on April 30th on BBB, but changed the outlook from positive to neutral. And I believe that is inspired, or I should say, a consequence of the more general, uncertain environment rather than a specific Securitas matter. And we continue to have ample headroom in our rating. The RCF was then renewed, as I said, and this provides us then with committed funding. And in that RCF, we do not have any covenants. So we have no financial covenants. And I think with this, I can hand back to Magnus then.
Magnus Ahlqvist: Very good. And thank you, Bart. So let me now share some more context related to COVID-19. And now then, not so much about the Q1 impact, but rather focusing on what is most important right now and where do we focus our actions and priorities. So as I commented at the beginning, we have been working with a few clear priorities starting in January this year. And one of those is related, of course, to our clients. We've had a strong focus in terms of securing the business continuity and safeguarding the delivery of our services since the start of the corona pandemic. I've also spent a lot of time with clients, but over video in this period, and have received very positive feedback in terms of the value that Securitas is delivering and the strength we are showing also at a significantly more challenging time. But while we're still facing a challenging situation in many countries and many locations, we are now increasing and working with our clients to support them in the important process of restarting, resuming their operations. But this is a new situation and we are actively leveraging our knowledge and our leading offering and competence that we have in terms of our protective services to address the client needs in what will be a new situation or what some people refer to as the next or a new normal. But it does not shift in some of the focus areas related to our financial position. And Bart touched upon a number of these, but we felt it's important to also spell them out to give you a good understanding of some of the key measures that we have implemented, but also where is the focus area right now. And starting with cost. These are very challenging conditions and we're also facing quite some uncertainty regarding the development in the coming months and quarters. But we have initiated a number of activities to manage costs and we have outlined a few of those on this slide. One important consequence, like I mentioned earlier, is that roughly 10,000 people are now on some form of temporary unemployment scheme. By looking then at the current situation and the focus areas going forward, it's very important for us now to closely monitor and handle the government relief programs because this is obviously providing some relief related to the challenge of idle time. So this is one important part also then as we're looking at some point in the future when these programs will start to be scaled down. But it's also very important to manage the sickness costs. We're also spending significant amount of time on scenario planning, and this is all about ensuring readiness. We need to be prepared to initiate further actions depending on the development during the coming 3, 6, 12 months. And then to protect cash, we've also initiated a number of activities. And here, reiterating one point that also Bart mentioned, is the monitoring of accounts receivable. And this is an area where we have not seen any significant negative impact on payment patterns up until now, but it is obviously important that we are also protecting our accounts receivables in the coming months and quarters. And we also took the decision to pause all acquisitions at the beginning of March. And that was for 2 reasons. One was to be prudent and the other one as well when we are acquiring, we are also acquiring competence and teams, and with the travel restrictions, et cetera, it would be very difficult to do effective integration work. And we're continuously monitoring and taking all these actions to protect our financial position. But it's also important to mention that we continue to invest in the strategic transformation programs. These programs that we are not talking so much about today, are very important to make sure that Securitas, that we continue to drive the modernization and the digitization and that we are enhancing the offering and coming out stronger of this situation when the situation with COVID-19 is normalizing. So to some, some of this are related to COVID-19, I want to reiterate one very important point, and that is that we are all very proud of the Securitas team and the way that we have leaders and employees throughout the entire organization who have responded as individuals and as teams in an incredible way during the last couple of months. And I am convinced that through all the actions we're showing the quality and the strength of Securitas as a company at a challenging time. And this is something which is important now to our clients, people and society, but I'm also sure will put us in an even stronger position when the situation is normalizing. And as we've highlighted, we continue with full focus on these 4 main priorities, while maintaining our investments in the strategic transformation programs. So to sum up the quarter, we had organic sales growth of 2%, but 19% negative real change in operating income. And this is a challenging situation, significant amount of uncertainty regarding the development in the near term. But we are actively managing the situation since end of January with clear priorities and focusing a lot of our effort on readiness to take further actions as required. So with that, we are now concluding the presentation part. But before we open up for the Q&A, just like to mention a few points. And one of those is that I understand that you will have a number of questions, potentially a number of detailed questions. Bart and I always do our best, of course, to respond and to give you as correct of an understanding as possible. But when you look at the situation that we've seen for the last few months and that we are in right now as well, a lot of things are happening quickly and there are a number of moving parts. So we will try to give as much clarity as possible in context, but I don't think it makes sense to go into too much detail and I hope that this is something that you also understand. So with that, now then happy to hand over to the moderator, and we open up for the Q&A.
Operator: [Operator Instructions] The first question comes from the line of Edward Stanley from Morgan Stanley.
Edward Stanley: I'll avoid COVID, actually, in that case, and I ask some other ones. In terms of the Ibero-LATAM division, you said that Spain was growing by not as much because of tough comps, Peru was negative, in which case, it sounds like Argentina and the price pass-through must have been very, very large indeed. And I was hoping to get some thoughts around that. The second question, you say that you've got to focus on receivables and collections, and there's been no negative patterns, but receivables were SEK650 million odd versus SEK133 million last year. So it's quite a material step up. So I'm just wondering what's happened there if there have been no negative changes? And then the final question is around the margin. I'm just, the technology part of the group is obviously growing very strongly, and that's great. I'm just trying to reconcile that against the margin given that the tech contract should be theoretically higher margins. Is all the negative drop-through coming from these 10,000 staff who are on release schemes? Or is there any risk that some of the technology contracts that you're signing are coming at incrementally lower margins, please?
Magnus Ahlqvist: Yes. Thank you, Edward. I will start with the first question. And maybe, Bart, do you want to comment on the accounts receivables, then I can also comment a bit on the margin. Yes, correct interpretation, significant impact from price increases, which is also very much inflation related in Argentina. And to give some flavor in terms of the third question about the margin, a number of different dynamics. We estimate that if you look at the margin drop on a year-on-year basis, that roughly 2/3 of the margin drop is related to COVID-19. So 2/3 of the 1% margin decline that we had. So there are also a few other factors. And one of those factors is the delayed or the later than anticipated recovery in our critical infrastructure services business in North America, but we had also not anticipated to have a very strong quarter in Europe due to the already expected impact from some of the lost contracts that we had in the first half last year. And then you also asked about the people. One of the challenges that we have been facing in this situation, of course, is that there has been very quick changes. And that has been in terms of the client demand, especially in areas such as aviation that we highlighted, also electronic security. But there has also been a period where when you look at Europe and the different relief programs that have, that are all, have their different flavors and all are quite different in terms of how they have been implemented and what terms, et cetera, there is a significant cost still related to the idle time. But I should also highlight that the release programs are obviously also very much helping because we are not facing the entire cost ourselves. So I think that is one important part. You also mentioned a question about or a comment about electronic security or contracts. And there is no, I would not highlight any significant difference there in terms of that part of the business in this first quarter. But that, handing over to you, Bart, maybe then on the accounts receivable, question number two.
Bart Adam: Yes. You are very right to say that the accounts receivable had a negative impact, the increase compared to year-end. There are 2 things to be mentioned about that. First of all, is that, traditionally we see a little bit of an increase in receivables in the first quarter of the year compared to year-end. Year-end is normally one of our best DSO, so to say. The number of days sales outstanding is at best only at year-end within Securitas. And then the second thing to mention is that you should also look at the line changes in other operating capital employed. That one was quite negative last year and now it was just around -- well, actually very just breakeven in a way compared to -- there was no development, actually. But that is also because it is some baskets in between accounts receivable and other operating capital employed, which are balancing out each other, in the sense that -- and it depends on how fast we are invoicing. And if we have some services rendered which have not been influenced yet, then they sit in other operating capital employed. So it's also to some extent, a fact that DSO has increased a little bit compared to year-end. But also actually we have invoiced faster than this year compared to last year because the changes in other operating capital employed have reduced. And that moves into the basket of against receivable. We monitor our cash flow very closely daily globally. And we can say that we follow so far a very good pattern.
Edward Stanley: Thank you.Can I follow-up quickly on the first point you made on Argentina? Are you able to give what the 9% organic growth number would have been excluding the inflation impact, or put another way, has the inflation impacts or pass-through impact increased sequentially versus last year or versus last quarter, which direction is that going in?
Bart Adam: If I could take that, Magnus, then I can confirm that the price increase, price change in Argentina this year Q1 is exactly on the same level as last year. So there is no impact compared to last year, so to say, in that perspective, it's exactly on the same level. And Argentina, more or less, has also remained on the same level then as a total as of -- as of its percentage of total sales within that division.
Edward Stanley: Thank you.
Bart Adam: Does that answer your question?
Edward Stanley: Yes, it does. Thank you very much. Thank you.
Operator: The next question comes from the line of Johan Eliason from Kepler Cheuvreux. Please go ahead.
Johan Eliason: Yes. Thank you for taking my question. I just wonder if you could give an estimation of roughly a big share of your revenues are sort of from aviation, hospitality and events and then maybe by geography?
Bart Adam: Do you want me to take that one, Magnus?
Magnus Ahlqvist: No, I can take that. Thank you. So when you look at aviation, is roughly 7% of our group sales. And we don't break out event business, but those are typically including what we define as extra sales. Those are roughly 14% of our overall business. And some more granularity in terms of aviation then if you look at the different divisions, make up around 12% of sales in Europe, 4% about in North America, around 5% in Ebera-America and our EMEA division. So that is the rough split.
Johan Eliason: Okay. And then just maybe a comment on, I saw that G4S say they will need to recruit 15,000 employees in the U.S. to meet increased demand on this virus outbreak. Is that some sort of push to take market share? Or how do you see it?
Magnus Ahlqvist: Yes, from my perspective, we have commented also in the report that we have had strong performance in Guarding in North America in the first quarter. And I mean, that's a number of different factors. But one positive aspect of this, from this situation is that we have seen, we have seen a clear increase in demand for temporary services. So we've had higher than normal activity when we look also at hiring to be able to mobilize and to meet this demand. So you make a reference to one of the competitors, I, my simple view is that there is clearly a temporary demand increase in the market. So I would more relate it to that part.
Bart Adam: I would also add to Magnus that, I would also add that some numbers have been flying around for ourselves as well, but we should also say that, that includes the normal attrition, the staff churn that we have is included in there. And when it comes to staff churn, we have seen a small decline in our business actually in the U.S. when it comes to staff churn.
Magnus Ahlqvist: Yes, correct.
Operator: The next question comes from the line of Chirag Vadhia from HSBC.
Chirag Vadhia: Your release states that you're looking at different scenarios to ensure preparedness for COVID. And you touched upon it briefly just now. Could you give some color on how you see these scenarios in a world where people are moving towards being more cautious around social distancing?
Magnus Ahlqvist: Yes. So the, I mean, because there is, you almost have to divide, you can, there are some things that we just have to accept, that we cannot really influence, of course, in this situation. But one area that we can really influence is ensuring that readiness that I talked about earlier. And that's the reason that we have started about a month ago, more extensive scenario planning. We have regular updates in terms of our forecasts. But obviously, now we're in a situation with significantly higher uncertainty. So what we are doing there is then looking at what do we believe best reflects the outlook now for the remainder of this year, but then we are also stress testing with a few what-if scenarios. And that is then primarily driven by assumptions around an economic recovery that might take longer time and depending also then on the severity of the economic development from this point onwards. And that work we have been doing on a group level, but we're also doing it within the divisions and also then the main countries, looking then at a few different scenarios to also make sure that we understand completely where are the biggest exposures. And those are, and then also, I should say, depending on how things develop, that we are quick and that we are ready to also then take actions and measures as appropriate. And some of the exposures, just to give some more flavor to that, we highlighted earlier. One, of course, is the temporary unemployment schemes. When you're looking at people there, we have 10,000 people, which is a few percent of our total workforce. Sickness rates is another one at this time of uncertainty, which is also at this point or when I look at the month of March, we saw a significant increase. But then it's also, in some of the areas where we've seen the most severe impact, such as in aviation, it's also then about how do we see the kind of the normalization or demand also resuming over time? And there, different parts of our business also have a slightly different nature in that sense. So the aviation business, we're then looking at scenarios and some of the installation projects that we've now had to delay, et cetera, they're obviously looking at, in more of a normalized situation, how quickly are we able to resume those types of activities. So that is, those are the main themes that we are looking at, but always then as well about protecting the financial strength of the business. And as Bart and I highlighted, we also continue with full force on driving our strategic transformation programs at this point in time.
Chirag Vadhia: And in terms of the idle time, how do you sort of see this evolving as temporary unemployment measures that were lacked?
Magnus Ahlqvist: Yes. I think it will, I can start and comment on that. It's very much a country-by-country specific question. It's also a question related to what part of our business and which clients we are talking about. And so there we are taking much more of a local approach in terms of how we are addressing and understanding. And first of all, of course, how can we leverage the programs to provide some of the relief and to be able to keep employees employed during a temporary period, but then we're also now starting to spend quite a lot of effort also thinking about and also together with our clients, looking at restarting operations and also then how do we handle then the transition from being on those temporary unemployment schemes to not being on those or enjoying that support, if you will. So I would say those are the main questions that we are looking at and building as much insight as we can to once again ensure readiness.
Chirag Vadhia: And just one final follow-up is, if we move to a more social distancing normalized environment, do you see less guard perhaps being on the client side? Or do you see any changes in the structural way that you interact with clients?
Magnus Ahlqvist: Yes. That will also differ because we also have, in a number of the kind of the restart discussions that we have with clients. It's also then to support them with social distancing, with crowd control. One of the clients that I talked to last week, also then talking about -- or their expression was how do we make the environment COVID safe. And kind of COVID compliant. So it could also be to help the clients in that process. So there are -- but obviously, in the long term, we benefit from general good economic activity. But when you look at the short term, there could be challenges as well as opportunities for us to also then help our clients in this process.
Chirag Vadhia: Thank you very much.
Operator: The next question comes from the line of Sylvia Barker from JPMorgan. Please go ahead.
Sylvia Barker: Hi. Good afternoon. A few questions from me. If I can check kind of on the 10,000 people that you currently have on short-term unemployment kind of how many of them are in France and Germany? And if we think about the Q1, I mean it seems like companies were able to get people in short-term unemployment pretty quickly in France as soon as the lockdown was announced. So do you already have -- did you already have largely the full kind of run rate of the benefit in Q1? Or do you think that there was more -- there's more benefit that you're seeing from that in Q2? Secondly, on North America. So obviously, you've announced many hires and so have G4S and Allied as well. If we think about the 10,000 that you spoke about, is it kind of half and half churn and new hires? Or is there any way you can kind of quantify that? And then around that, what we've seen alongside the hiring announcements has been an increase in the hourly rate charge for guards. Do you see that fully passed through to customers? Or is there any gross margin attrition on some of these more emergency contracts? And then finally, if we think about kind of the price wage balance, maybe can you give us that excluding Ibero-America? And then if we look beyond to the second half, normally we would expect kind of wage to become less of an issue as the labor market, obviously, becomes a lot less tight. And is that something that maybe we will start to see in the second half? Thank you.
Magnus Ahlqvist: Yes. I hope I managed to capture, I think, 5 questions. But Bart, you and I can help each other out here.
Bart Adam: Yes.
Magnus Ahlqvist: Yes. So when you look at the first question, Sylvia, in terms of temporary unemployment, it's difficult to talk about the run rate in March because it was a lot of changes, a lot of activities and actions in the market, but also then with government relief programs, et cetera. So when you look at Q2, I mean, if you're really looking for a run rate, now it's probably more relevant time to look at when there is at least some stability in comparison with the situation that we had in March. In terms of the hirings in the U.S., yes, we are hiring at very high levels. And it is driven then by a solid guarding operation overall that we have. But also as stated, a lot of temporary or significant, I should say, temporary demand. If you look at the rates and the margin question, the nature of our business is typically that when we have more short-term work, that there is usually a certain premium reflected in that pricing and that is also the case now. But we are also reflecting increased costs in this work. And one of those is related to protective services equipment. So I would say that, that is another important aspect that, yes, higher prices, but also then higher cost. And quite a lot of this is also about mobilizing and training, et cetera, in a fairly short period of time. But also then the protective equipment for our employees is very important. Bart, do you want to comment on, there was also price wage question as well?
Bart Adam: On the price wage question, basically, we are balancing everywhere. I mean, the average that we say that we are on par is valid for actually all divisions right now for all the segments. So it's solid for all of them. And I think that was your question, Sylvia, correct?
Sylvia Barker: Yes, that was it. And just thinking about, I guess, the wage part of it. I mean, it's quite unusual times at the moment because people just don't want to show up to work and I guess rates are going up. But what we would expect normally to happen in this, in such circumstances is that wage pressure will be a lot lower. Do you have a view on how that might play out during the rest of 2020?
Bart Adam: No, it's 2 drivers there. As we said, we have seen actually reduction in our staff churn in the U.S. and at the same time, so people obviously don't want to lose their job either I would say, but at the same time, we are seeing increases in some parts of the market as well when it comes to hourly wages. So it's, and we do not kind of forecast how this exactly will go at this point in time. Coming maybe back also, Sylvia, to your first question, just to give you a rough idea there. From the 10,000 we are talking about at this point in time, it's more around 3,000 in Germany and 1,500 in France. But as Magnus said, these numbers are changing day-by-day as our clients are changing as the environment is changing. And when it comes to the U.S. recruitment, I would still say that the vast majority of those numbers is also to replace churn. And there is an extra element, of course, of the extra services.
Operator: The next question comes from the line of James Winckler from Jefferies.
James Winckler: I just wanted to, very much appreciate that you don't want to give too much in terms of current trading or anything, but just wondering if there's the thought process of how to think about the headwinds for Q1 is correct because you originally said, I believe it was 1% to 2.5% expected growth headwind with your original COVID update. Assuming that new growth for Europe and Iberia would have been in line with January, February without COVID, I think the sort of weighted average of the headwinds imply about a 1.2% headwind to the group's growth. Wondering if that makes sense. And then just if we assume all the headwinds came in the final 2 weeks when things started really ramping up, that sort of 8% headwind through the final 2 weeks. And I guess, obviously, that's a headwind that's not actually what you're growing up a little, wondering if that sort of math and thought process makes sense. And obviously, if you're able to comment anything about April, that's very helpful. And then a smaller one on the VAT and the payroll deferrals. You mentioned that the incremental U.S. ones would be spent through the final 3 quarters and paid back in fiscal year '21, wondering if you can give any magnitude of what to expect there? And then to just, the SEK350 million benefit from the European payroll that deferrals, is that expected to reverse by year-end or also fiscal year '21?
Magnus Ahlqvist: Yes, I can start there. And if you look at your first question, James, it is correct that the impact on the sales were lower than what we expressed in the profit warning statement that we issued in March. So we saw more impact in terms of the margin than what we did in top line. If you look at April, we are not commenting or breaking out any specific comments there. Main focus for us is that we continuously manage the situation and ensure readiness, like we highlighted. Bart, do you want to give some flavor on the payroll and also the North America indication?
Bart Adam: Yes, absolutely. So on the North America, the deferrals that we can have when it comes to social security payments, I mean, we expect them to be more than US$100 million, actually, but that is based on our current understanding of the whole regulation, which is a bit fluid by itself. So I want to spell out that number because you asked for it and that is our current understanding. But I should also warn that the interpretation might still be a bit subject to how it's further detailed, so to say. And then our understanding is also that it should pay back half of that by the end of 2021 and the other half by the end of 2022. When it comes to the SEK350 million, to be honest, I haven't, I don't know, I have that, I do not have the knowledge when we are supposed to pay that back. It's spread over different countries. So it will be probably different regimes to follow and I do not have the number that what to say we shall payback in the next coming quarters on the top of my head. When it comes to your calculation there that you did on the 1.2%, I think that seems to me to be a reasonable calculation. And then, as Magnus said, how much you should extrapolate that to April, that is a much more difficult exercise because some parts were already affected early March, some other parts during March. So that is a speculation that I would refrain from commenting on.
James Winckler: Yes. So just if the 1.2-ish is correct and it's correct to assume that most of the headwind comes back two weeks of March. And just sort of dividing that by 2 over 13, we will assume about 8% headwind in the final two weeks of March. And just, are you able to comment on that [indiscernible] right?
Bart Adam: As I said, the 1.2, that is, has an effect on the month. But then if you should extrapolate that, I would be much more cautious with that. Things are just changing as we talk.
Operator: The next question comes from the line of Steven Goulden from Deutsche Bank.
Steven Goulden: I just wanted to zone in on something you said on the European margins. I think you were saying you -- part of the reason for the drop in margin was a drop in client contracts. So I just wanted to get a bit of an understanding of exactly what you meant by that. Are you assuming there -- is this in the kind of 80% of the business that's in the fixed category that, therefore, implies kind of ratcheting down of number of guards required for one year rolling contract? Or does it mean slightly more challenging price pass through in some of those contracts? If you could give me a bit of a feel for that, that would be great. And I just -- I guess as your typically sort of 1- to 2-year contracts are coming up for renewal at this point. What does the average contract renegotiations look like? Are customers asking for less guards? Are they asking for more flexibility? Are they willing to take price increases? What does the average kind of contract renegotiations look like on that 80% of the business? And then I've got a couple of follow-ups, if that's alright.
Magnus Ahlqvist: Yes. So the client contracts, Steven, that I referenced earlier, the 2 main categories there is related to the UK and to France and also contracts that we lost during the first half of last year that now then have a negative impact in the year-on-year comparison. So primarily then focused on UK and France. We also lost an aviation contract in Norway. So that also has a negative impact now in terms of the lost contract sales, but also then exacerbated by the negative impact from COVID-19. Those -- so not really anything to do specifically about price pass-through, some contracts that we lost, we lost margin. And some of the contracts that we lost last year, we didn't want to lose, but this is reality of competition, but that was the situation. The other question that you asked -- sorry, in terms of the commercial activity is that we have seen since beginning of March, essentially a lower commercial activity. A number of customers have stayed more focused -- significantly more focused on managing the current challenges as opposed to driving significant commercial activity. So it's difficult to comment beyond what we already commented on in terms of some of the temporary demand changes that we have had, also including the increases, difficult to comment on the questions that you raised now. But one important part of the discussion and that I always emphasize as well in the client dialogue, and they appreciate as well. We have a strong portfolio of protective services in our offering. Ranging from on-site guarding, mobile guarding, remote guarding, fire and safety and then electronic security and the ability to integrate solutions. And that is something that we are -- and we will actively promote and also leverage in the discussions when a number of customers are now looking at how do we invest for a new situation and this is no secret. In all the discussions we are having with our clients, this is one important point that we are also bringing up and I also hope and assume that most of the clients will also appreciate.
Steven Goulden: Okay. Great. Thanks. And yes, sorry, just one follow-up. I just wanted to dig into the furloughing issue again. So you've got 10,000 employees furloughed at this point. I guess, firstly, can you give us any kind of estimate on what impact that might be having on margins? As I understand, I think you've got, is it 350,000 staff. And I suppose going forward, what kind of, is there anything holding you back from doing more furloughing, particularly in other geographies, any kind of hesitation you might have around capital return issues, dividends, et cetera? Or would you be very willing to use those programs for as long as they last?
Magnus Ahlqvist: Yes. So in terms of the impact, there is quite a lot of difference between the different countries and even within countries with these different programs. So the, I think most important is to look at the number that we shared earlier. So roughly 2/3 of the operating margin decline in Q1 is then related to COVID-19. And that is really a combination then of costs related to idle time. And then the question that you mentioned in terms of people who are on temporary unemployment schemes because there is typically always a certain cost that we continue to carry even if there is a clear relief from the government programs. But then there is also a sickness cost impact, which is also important. So you have to look at the different factors there. And I think that is as much as we can share right now. When you then look at the other question, in terms of other geographies, we are people intensive as you highlighted. So this is one very important part for us. And we are then looking at those continuously, of course, to be able to manage, and this is for the protection of our employees, but it's also a protection of our financial position. So this is very important. And we will always have situations that are more challenging as well and when we look at, but that comes back to the scenario planning and that's one of the main reasons we do that. We will not let go of people permanently, for example, if we believe that there is a strong need and value and demand coming in the near to maybe the midterm, for example. So that is also very much related to that scenario planning work and also ensuring the readiness. But I think also the main, I hope that gives you at least some more flavor in terms of how we're thinking and how we are managing those aspects.
Bart Adam: If I could add to Magnus, I think the keyword is also agility from all of our teams in reactions to what our customers demand in reactions to what the governments decide and that has been tremendous throughout this period now, the agility that we have seen from our teams.
Operator: The next question comes from the line of Karl-Johan Bonnevier from DNB Markets.
Karl-Johan Bonnevier: Yes. I need to take another stab at this headwind question as I think somebody, that people are, say, interested in. If you look at, for the moment, having about 3% of your employees on these kind of short-term employment programs, how good a proxy is that, for say, the organic challenge you are seeing top line? How good is the balance, so to say, between the 2?
Magnus Ahlqvist: Is your question, KJ, how much is the 3% is an indication for the top line impact? Is that your question?
Karl-Johan Bonnevier: Yes. No, I've been looking at all the things you now tried to mitigate through temporary unemployment programs and similar things. How good the proxy is for, say, the challenge that you are facing and you're trying to monitor at this point of the cycle, of the COVID cycle?
Bart Adam: I think the challenge is actually a little bit bigger, to be honest, than the 3% because we have some people also that are on holiday. Some people are on a bit reduced staff or reduced contracts. Some people are, of course, not on the programs, either because the program does not exist. So we have now mentioned the people that are in such a program. So the challenge is a bit bigger than what you see from this naked number. But then, of course, also, I mean, some people have some, where we have reduced contracts, we used some of these people to fulfill positions in other of the extra sales that we have right now, connected to crowd control, connected to social distancing measures. So yes, but the 3% is, I mean, the challenge is bigger than the 3%. Let me put it like that. And then again, it's very fluid day by day.
Operator: [Operator Instructions] The next question comes from the line of Mikael Lofdahl from Carnegie.
Mikael Lofdahl: Yes. Just trying to figuring out the impact from your aviation exposure and also impact on your margin in general in Europe. So first, if 12% of your sales is aviation contracts in Europe, I had, at least in my mind, that some 60% to 70% of those contracts are in one way or the other linked to passenger traffic, which is basically 0 for the moment. And given that it has been so throughout at least a few weeks in March, I would have come up with a bigger negative number for March than what you actually reported, I guess that's good. But am I wrong in terms of how these aviation contracts work?
Magnus Ahlqvist: Yes. So the 12% is the right number. If you look at the passenger traffic related, I think, roughly speaking, your estimate is okay. But then the nature of the contracts differ. So in some cases, if we start with kind of the before COVID-19, we would have had the mix of some contracts, whether it's more of a fixed amount and then we deliver based on specific service level agreements. Other contracts, which is a smaller part, a proportion of the total business, would then be on more of a price per passenger basis. But when we moved into this situation, it's obviously a near-term perspective. There is a number of different aspects of this. So when I look at how the business is impacted, a number of the clients that we have, be them airports, airlines, other associated services, we are also then having very close dialogue with them also in terms of how do we maintain capacity also to start recovering. So some of the contracts that we had before, we then also have to look at for the near term how we manage, but then we also need to address that as well. And that is also part of one of the critical focus areas in the next couple of weeks and months as well. Based on what we believe is going to be the recovery and the new normal, how do we then also address those contracts and handle those relationships. So that is -- it's a highly relevant question, but that is the kind of the situation that we are in at this point in time.
Bart Adam: And then, of course, we--
Mikael Lofdahl: Would you say there's a lag in the impact from -- would you say that there's a lag in the impact on your revenues, perhaps from the lasting passenger traffic that we saw in March?
Magnus Ahlqvist: Based on what we know right -- where we are right now, yes. But that, obviously, a lot also depends on how do things develop from now on in terms of economic activity, restarting and travel resuming and at what pace, et cetera. So -- but the general conclusion you draw is correct.
Bart Adam: Yes. I was just going to add that -- exactly that there is some lagging effect from the aviation. I mean the airports closed down in different timings and sometimes actually a bit delayed almost to the general lockdown because there were still some flights going on to bring passengers homes, so to say. Yes, ships also account with that.
Mikael Lofdahl: And I guess a lot of the finance that you have done should be related to the aviation part of your business?
Bart Adam: It is. I can confirm so.
Mikael Lofdahl: Just to remind you also, I think the lost contracts, if I'm correct, I think the one in France was lost by 1st of April last year. So it impacted Q1 fully. That was roughly 50 basis points, I think, on organic growth. And then you had the lost Norwegian aviation contract and the one that we won in Germany, but the net of those were 70 basis points, I think. So you should have been negatively impacted by 1.2% in terms of organic growth only from those contracts in Q1. And if that goes for March as well, the minus 3%, actually -- I mean, these 2 contracts would then explain roughly half of that decline. Is that correct?
Bart Adam: In broad terms, the calculation is correct. I can confirm, yes.
Mikael Lofdahl: So what I'm heading at is the margin drop that you you say in Europe -- you say in the report that the decline was primarily -- and the decline was 140 basis points, primarily due to the COVID-19 pandemic. I'm struggling to see how the impact could be so big coming from COVID-19 because you don't really see it in the sales number? So is it mainly to do with the sickness costs? And -- what is it?
Bart Adam: Yes. That is something we have not so much talked about yet. I mean, the margin drop is larger, so to say, than what is explained from the sales drop. But what we have seen is, of course, the cost from idle time, not all people have been able to be put on these government schemes from day 1. And in some cases, there is no -- these schemes do not exist simply in certain countries. And then secondly, there has been a quite increase in our sickness costs for different reasons, of course, and that has started pretty much during the entire March, you could say, we have seen that effect and it has been quite considerable as well, very considerable actually.
Mikael Lofdahl: Okay. A final question for me, just in the U.S. where you have a lower exposure to aviation, for instance, it seems to be speaking quite positively about new sort of, call it, opportunities arising from company starting up and needing your services in that sense to keep employees safe and so on. Is it, could it be even that there is a continued positive net effect from all of this in April? And was it a positive net effect already in March from some increased extra sales in the U.S.?
Magnus Ahlqvist: So I mean, we saw a clear positive impact in March as we have commented. I mean, we don't comment on the month of April specifically. Important for us is that we're staying close to our clients and working very actively with them in supporting them on this. And this is obviously something that we are keen to do and we're proud of the work that we are doing in the U.S. because our teams have, and leaders have really been able to mobilize quickly to be able to help out related to a number of the sectors that I mentioned earlier. And we're also seeing some of that in Europe as well. And this is obviously one of the important focus areas for us now where we are and also in the next couple of months, as I commented earlier.
Operator: The next question comes from the line of Peter Testa from One Investments.
Peter Testa: I have 3, I'll go one at a time, please. Just on the electrical installation part that you described, not having the revenue, but I guess you still have the people in your network would have been important. Can you give a sense as to how important that was? And given that installation work is probably deferred, do you think you just keep the people through to the other side and do the installation? Or given pipelines and so on, do you think you have to make some adjustment to bring those 2 factors more in line?
Magnus Ahlqvist: Yes. So the assumption is correct there. I mean a significant part of our electronic security business is installation related. We have and we continue to invest because we see strong, significant opportunities in the mid and the long-term with a really strong electronic security capability. This is a balancing act that we need to manage right now and also then in the next couple of months. I do agree with you that a number of installation products there should be a backlog and also then opportunity to be able to address some of that pent-up demand. But the main issue that we faced very quickly was that at the pace that many companies were shutting down the offices and also then issued broad instructions for basically preventing anyone from entering offices, factories, et cetera, that is what then complicated the situation significantly in terms of actually carrying out the installation work. We are now working also in the last month in the U.S., North America, but also in the other markets where we have strong electronic security presence and also then working out the protocols and also going through all the safety and security measures that we are undertaking to also be able to do installations in a safe way. So that is also one important focus for us. But to the question about backlog, et cetera, I do agree, generally speaking. But then on the capacity, in terms of the resources, that is one of the areas that we need to manage closely and really follow this in the next weeks and months.
Peter Testa: And then the second question, you've mentioned extra work and obviously the events business will have some cancellation events, which will make it more challenging. If you think about the balance between the extra work you're getting across your portfolio versus the Events business, to what extent do you think you can balance that off?
Magnus Ahlqvist: Yes. So if you look in, I think on the totality, we are quite even in terms of the positive impact offsetting the negative and that is where we are at this point in time looking at Q1.
Peter Testa: Yes. And the Events business, I guess, is more important in the summer. So it might be a bit more challenging later on, but you still expect substantial extra work to carry on?
Magnus Ahlqvist: Event business differs quite a lot. I mean we had in Europe, for example, there are some specific fares and exhibitions, et cetera, some annual general meeting. So we have quite a strong engagement in a few countries that we're supporting. So it does really differ. But obviously, the nature of the Events business in these extraordinary circumstances, many other events have been canceled for this year, not then coming back until planned for next year.
Peter Testa: Okay. And the last question, please. It's just, as your customers across the bulk of your business in industrial and office work has to flex their way through the balance of the year, can you just give some comments as to how you think you'll be able to manage now that you're sort of into the crisis, your own labor cost through that? I mean, obviously, it's a, you highlighted great flexibility from your teams and so on. But just the extent from a matching standpoint, you're obviously matching wage and price, but do you think you can also match the volume and wage and employment at the same time?
Magnus Ahlqvist: I think that, I mean that's obviously the work that we are trying to carry out. So when you look at the last two months, in a few countries, for example, where we had declines in terms of aviation, we have tried to redeploy a number of qualified officers for other client categories. This is very much local work and I would suggest better for us to come back and comment once we have come a little bit further into 2020 on this topic.
Operator: There are no further questions registered, so I hand back to the speakers for any closing remarks.
Magnus Ahlqvist: The beginning of the Q&A, I hope that we have been able to give you some better flavor in terms of these extraordinary circumstances that we're operating. And like we've highlighted, Bart and myself, a number of times, we are proud of the work that our teams and the entire organization is doing, but we also spend a lot of effort in terms of managing the short-term, but also then the readiness to be able to manage through this situation in the next 3, 6, 12 months. So with that, thanks a lot, everyone, for calling in today.